Shawn Mehler: Thanks everyone for joining. There's still quite a few coming in, so, just bear with us. We'll maybe take one or two more minutes here. We'll, we'll get started shortly. I guess we can, yes, jump into it. Again, appreciate everyone for taking time today and joining us. For anyone that was with us for our year end financials, this will also be recorded and put on our YouTube channel for anyone that didn't make it, this morning. Yes. My name is Shawn Mehler. I lead the public relations team with Prospera Energy. And again, pleased to be moderating this webinar alongside our Interim CEO and Chairman, Shubham Garg; and our CFO, Chris Ludtke, this morning. Today, we're looking at highlighting key takeaways from our Q1 financials along with some operational updates. For anyone that's new to us, we operate in Western Canada targeting legacy assets with significant remaining reserves. And with that said, I'll maybe pass it off to you, Chris.
Chris Ludtke: Hey, Shawn. Good morning, everyone. I appreciate you taking the time. I'll walk us through some of the key takeaways from the Q1 2025 financial statements. This is open forum, so any questions that you may have, I think we're going to have sometime towards the end, to be able to answer anything specifically. And if we don't get to any of those questions, feel free to email myself, Shawn, or Shubham. We can get back to you directly. So, just walking through the Q1 2025 financials. Q1 is an active quarter for Prospera in terms of well reactivations, infrastructure upgrades, bringing field equipment to baseline operating conditions. Various different maintenance, pro-maintenance and preventative maintenance programs, health and safety upgrades that were implemented. And quarter one is typically one of the colder quarters for Prospera, where we'd seen sustained weather at lower than 40 degrees Celsius, which is a testament to the commitment of the field operations. And also, the weatherproofing of the field, we found that we fared much better this year than in previous years due to a lot of preventative programs that were put in place. So, just a little bit of a shout out to the field and the engineering teams for that. Overall, in the first quarter of 2025, Prospera deployed about approximately $2.5 million of capital, into the fields with, roughly $2.3 million of that being reactivation focused capital. So, 27 wells, we're focused on from a reactivation standpoint, in the 100% owned Hearts Hill and Luseland properties. This program results in additional production capability of almost 250 barrels a day at an average capital efficiency of just over $9,300 per BOE. Although, this work was, for the most part, completed in quarter one, the benefit is actually expected to be more realized in Q2 with all the wells being online, unhindered by any weather or operational related impacts. Through this period of time, Prospera also successfully advanced a few strategic initiatives during the quarter, which I feel are worth mentioning. There was $3.3 million, in term debt funding that was secured, pursuant to the term debt financing agreement executed in July 2024. So, it's really an extension of existing financing that continues to provide funding, to increase barrels, to increase cash flow, and get Prospera to a critical point of sustainability. It's also an acquisition of White Tundra Petroleum that was announced on March 6. The corporation entered into an agreement to acquire 100% of the outstanding and issued common shares of White Tundra. This related party transaction is a nice strategic fit for continued expansion into Alberta and provides incremental proportion and cash forward operation. Transaction is still under review by TSX and is expected to close in the month of June 2025. As well, a convertible debt settlement. So, the corporation reached a settlement agreement with holder of approximately $1.5 million convertible debt on March 26. This convertible debt settlement includes refinancing the principal into a 12-month promissory note, with 200,000 of it, of the accrued interest payable, being converted into additional convertible note. And approximately, 360,000 of that interest being paid out, through the issuance of shares for debt. Last strategic initiative, but one of the most profound was that Prospera completed work forced re-optimization initiative that streamlined corporate decision-making process. So, effectively, the Company right-sized its staff in the office and consolidated its operator contracts in the field. So, this has resulted in improved operational efficiency, basically, with experienced folks making timely decisions in a focus of quality over quantity with our personnel. This resulted in staffing reductions. We've seen approximately 50% of the Q3 numbers, and resulting office software parking and other G&A-related cost reductions. Getting into the operational highlights for the quarter, which I think is the next slide for you, Shawn. PEI realized average net sales of 660 BOE per day in quarter one. This is an increase from Q1 prior year of 640 BOE and an increase for Q4 625 BOE per day, both for prior both of the previous years. Sales revenue was almost $4.6 million, achieved the average BOE of just over $77 per BOE in Q1 compared to revenue of 3.9 in the previous quarter of -- sorry, Q1 of the previous year, which, was at average, netback of approximately $67, roughly 17% increase year-over-year. Operating costs are worth highlighting here. Operating costs per barrel increased almost 50% in Q1, at almost $60 per BOE compared to roughly $39, for the quarter in the year prior. And this is due to a couple of very specific items. Costs were higher due to multiple unkind electrical outages. So, we'd seen some production disruptions from this. But there was also various one-time infrastructure upgrades, road upgrades, field equipment -- bringing field equipment to baseline operating conditions followed by enhanced maintenance programs, health and safety upgrades, and additional costs associated with extreme cold weather. And I mentioned this earlier on. These are mostly one-time costs required, to continue operations, support the, ongoing developments for the field and support for the higher production volumes that are planned in the coming quarters. PEI earned an operating netback of $627,000 or just over $10 BOE in Q1 compared to $1.6 million or $27 BOE in the quarter year prior. And so, what we're seeing is that these onetime costs are impacting, the operating netback. A lot of these items aren't being capitalized. They're being captured in the operating costs. And so, as a result, we're seeing a slightly reduced netback in Q1 2025. Shawn, I think that that's it for me from the financial highlights. Maybe I'll pass it back to yourself and Shubham for the next slides.
Shawn Mehler: Yes. Maybe before Shubham jumps in, I'll make a note. If anybody has any questions, there is a chat window. You can get them submitted. Other than that, yes, maybe transition to you there, Shubam, for some comments.
Shubham Garg: Yes. Thanks, Shawn, and thanks, Chris, for the highlights. Appreciate everybody joining us here again for the Q1, conference call. This is a continuation of our change in strategy, since some of the changes at the Board and management level on October 31. We aim to be exceptionally transparent, and open with the investors, through the monthly operations updates. And then, we have these conference calls, where we'd like to just chat directly with shareholders and stakeholders and also have it on YouTube there as a as a point in time view of the Company's operational financial information at the time. The Q4 conference call we had, earlier in May was mostly of a technical nature. We were looking to describe some of the fields, some of the assets. This one is more of a, from the vision of the Company standpoint. When the changes happened in late October there, we spent Q4 being very reactive to a new team coming in, hitting the ground running, getting structures in place, getting a capital program done. Q1 was more of a proactive approach where we had our capital program arranged. We looked at certain financing mechanisms that we found attractive to continue to grow the barrels, get this company out of its financial position, while at the same time, getting oil out of the, our exceptional reservoirs here and grow the barrels out. And as we go into Q2 now, we've had spring break up. We had slowed down our capital program. And then, as announced yesterday, we've now have committed financing towards that summer capital program, and have hit the ground running on that, given that we spent much more time preparing, the program developing, talking to vendors, making sure we have the right deal structures in place, and so, that we're prepared, ready to go as soon as that dollar hit the account and can execute on that. So, really excited to share the progress in that portion of the Company, over the last eight months. The management and Board have been happy with the execution on the program thus far. We've really brought the Company from a high-risk grilling, unknown result type of program to more of a well by well by well reliable, low decline production type of company. And so far, the deliverability has been as expected. We have confidence in the program as well, with some of our pools, and as well as the latest heavy oil technology. And of course, we have more than 150 wells still on our list, which are currently suspended. They had been left by the previous companies, in a previous era of lower oil prices and less technology, less enhanced oil recovery strategies out there, and we will now look to capitalize those strategies with the proper planning and working capital management as well. The Company, as you can see, was, and Canadians to make money on a field level. The operating netbacks have been positive. We have been cash flow positive in Q1 and happy to report that in March, we were free cash flow positive as well. So, that's after paying the interest payments, after paying anything to do with G&A, employee salaries, legal cost, audit cost. We were free cash flow positive. That's excluding the growth capital, of course, which was quite significant in Q1. And we continue to drive that momentum, throughout Q1, as we continue to add barrels, capitalize the pools, and continue to get that, not just top level revenue, but also the cash flow at the end of the day going up, which is a number that matters, quite a significant torque on it because of our high, fixed operating cost way that these fields are, just with the amount of infrastructure in place, the amount of wells in place, that we have there. And as far as the division of the Company here, we see us at a critical mass. We've achieved barrels that were projected that we wanted to achieve in Q2. We continue to see this summer program now get us to a stage, where we can get this previously announced debt consolidation piece in place. So, an ability to use our production profile, our cash flow profile, our deliverability on these workover programs, along with our reserves base, especially the PDP reserves base to come in and have this ability over the next few months to consolidate this debt into one senior secured instrument. It allows us to clean up the balance sheet, get our other subordinated debt instruments bought out, and also address some of the, accounts payable arrears that we're dealing with currently, which we continue to address on a month-by-month basis. Certain vendors we're talking to on a week-by-week basis, making sure they understand our strategy that we need to get this company into further and further cash flow profitability into higher production levels and higher reserves levels, allowing us to have this, higher ability to clear out accounts’ payable arrears. We can't just drip, into these programs and still allocate capital, to production growth, to, to reserves growth at the same time, and get us where we need to be, at a reasonable time frame. So, continuing on the strategy with the summer capital program, we have, five exciting reactivations in the loose land pool that are backed by the 11 that we did in Q1. Very happy with the results there thus far. The well by well results on those programs are completely transparent and available on our on our latest May, corporate deck that was posted here, on our website a couple days ago. And then we also have a reentry into one of the 2023 horizontals at Cuthbert, where we see an ability to add barrels, quite quickly there from a wellbore remediation where the well was drilled too deep, at the heel of the well, there. And as we continue this, we continue to our conversations with boutique investment firms, with, larger syndications of a senior secured instrument. The, attractiveness to us is consolidating the debt under one piece, but also, having extra working capital on that piece so we can continue to grow production throughout the year, without needing to go back to the market, on a monthly or a bimonthly basis. And then also, a lot of the debt stack that Prospera currently holds is held by current shareholders or the current Board. There's not that much independent debt out there, allowing us to if we can consolidate the debt under independent piece, we have the ability to have these key stakeholders and make other interesting, financing structures with them, whether that be acquisition capital, whether that be further working capital, whether that be them coming into the stock in a certain way, sort of opens up that ability that these debt holders have been dealing with the Company for many, many months and in some cases, many years. They're not just an independent third party that's looking to get paid out and then and then go out their own way necessarily. So really, really, attractive capital program, especially for a company of our size to have this ability, of capital financing, ability to raise capital, at very, decent terms, I'll say, and in a very reasonable time frame allows us to continue on this program, and build on our strategy, build our vision, get the Company to where we need to get it to, and then the world's our oyster in a sense. We will continue to share, that strategy here as we go through the monthly operations updates. We've talked about our polymer pilot location now being finalized. Extremely excited to see that portion of the Company start to move ahead, here as summer continues. And, that's the vision we're on. So, we expect to share, monthly operations updates, here every single month with, our strategy here of continued production growth, continued cash flow growth, continued cash flow growth, addressing the accounts payable arrears, on a week by week, month by month basis. Getting us with critical mass, where we can then consolidate the debt under one instrument, then allowing us to really hit the ground, even more aggressively and continue to just add value here at sub $10,000 of BOE, which are really, really attractive, metrics, where we can get payback, on our capital program in a four- to six-month period, add reliability to the pool. And yes, just continue to keep on keeping on this vision. There's no aggressive plans of home run type opportunities at the moment. We're going to continue on our base well by well by well service rep program, which has been working for us over the last six to eight months, and we'll continue to execute on that. Pass it back to you there, Shawn.
A - Shawn Mehler: Sounds good. Yes, good timing. A couple of questions coming in here. So, one is, can you elaborate on the summer development program and any runway on reactivating existing wells? So, maybe just a bit more on that, Shubham.
Shubham Garg: Yes. Certainly. I think for us, the month of March was a show me month. We ran two service rigs for the majority of the month. At one point in time, we had three service rigs running, on our property. So, really allowed us the chance to see how aggressively can we flex capital here. Can we push the field staff, and contractors to really take this by the neck and really push this program ahead before spring breakup hit. We had our engineers tapped. We had the management team really meeting on an hour-by-hour basis, looking at working capital, looking at capital allocation, vendor management, arrears management, workover programs. And we really found that to work good for a two- to four-week period. After that, the entire team was starting to get stressed. In terms of the workload requirements, we were starting to potentially lose, certain efficiencies that we had built into the program, and it just wasn't the most effective way to continue there. So, on the summer capital program, we've committed to one rig that's going to be consistent, for the next two, three, four months with an ability to add that second rig as the team is able to handle that, as we see opportunities to pick up certain hot rigs that are in the area, and get really good terms on them, and put them out there. The Cuthbert well that we're going to be doing, the 2023 horizontal, is also, in some sense, a show me play. We have three wells in Cuthbert from the 2023 drilling program that are performing exceptionally, and then there's three other ones that we feel are reentry remediation candidates. So, this will be the first, where we go in. We see how much production we can add from this, what the cost actually ends up being versus our AFE cost, it allows us to really continue to build this program. So, I think what I can say is, it's going to be a very dynamic program. It's going to be adjusted on a week-to-week basis, depending on if we see a certain section in Luseland. We go in. We do reactivations. We're seeing higher reservoir pressure than expected. We're seeing higher sand production than expected. We may choose to change the rest of the program on the fly. This is not a set in stone program. We have spent the engineering, the reservoir, the geology resources over the last six months to look at these wells, so that we're not just opening up a paper and saying, oh, which well is this? We know what the well is. We know the reservoir quality. We know them kind of oil in place. We know the geology in the area. We can make decisions very quickly, and sort of re reallocate resource towards it, as we go. And, those are the two on the service rig program, kind of the pace of the program. We feel the current team is more than adequate to handle that that portion of the program depending on capital availability. We have over a 50 workovers still to do, workovers and reactivation still to do. So not all of these are, of course, Tier 1 workovers, but more than a third would be would be less than, four to six month paybacks, which we would allocate into, if we had the right type of working capital. So, we do have the ability to increase the pace of development while still monitoring all the results, making sure the wells don't go down, making sure we're not overpaying for certain vendors or certain pumps because we're in this mad rush, to just go out, making sure we're not making mistakes. We're having postmortem meetings, on the service district program. And at the same time, the reservoir engineering team continues to work on the polymer flood. So we had, an in early May, when we put out our news release, we mentioned that we have three locations finalized. We've now moved to finalize one specific location, where we, performed the, reservoir analysis. We're working on the compatibility testing of the polymers, and we have actually secured now a source water well, for that polymer flood as well. So things are moving quite rapidly there. We still don't want to make mistakes here. We're working with the two polymer providers, intimately to get to the, finalized program and also working with the MER, the Saskatchewan regulatory body who needs to approve these, these programs. So, there is some governmental timeline here, that's been baked in, and we expect to continue to announce further updates on that polymer flood, as we continue here through the operations updates. And every other piece of our, field operations program will continue throughout the summer. So whether that's adding infrastructure, adding reliability, adding extra spare inventory of parts, the winterization, any further winterization work that needs to be done, building single well batteries, given that this oil is a 12 API oil, it's extremely ineffective to transmit it through pipelines. The single well battery allows that oil to just stay on-site, without it gumming up pipelines, creating wax, in the pipelines as well. And, yes, I think we expect to see a measured pace here throughout the summer. As we continue to add barrels, we will continue to see revenue increase, continue to see cash flow increase, which again, not just drives that debt consolidation piece, it brings our own internal cash flow higher, so we can self-finance these programs as the summer continues, rather than look to the market or our term loan or warrants or other financing mechanisms, in order to fund these programs. It becomes a snowball effect. And at the same time, we're not going to get into high spending, high risk projects. That seems to be what brings companies to their knees. So, we're going to focus on our base business and just continue executing. Chris, did you have any thoughts on that?
Chris Ludtke: I would agree. I think, cash flow reliability is massive for us. The ability to plan for cash coming in on a going go forward basis is what we need in order to be able to allocate to our core, operating expenses, being able to manage the AP areas that are outstanding and being able to redeploy back into the field. We need to get to that point of critical sustainability where we've got the capital that we need to be able to settle out the AP arrears, with the plans that we enter into. And we also need to be able to offset decline. We need to be able to continue to grow this business to provide proper investor returns at the same time. And continue to work towards this debt consolidation piece because this this really is critical. We've been incredibly fortunate that we've had strong support from Board existing investors, and our senior debt financer, to be able to continue to increase these barrels and take advantage of the large inventory reactivations, I think that the Company has. I mean, our massive value proposition here is, we're sitting on huge amounts of reserves. And so, if we can capitalize that and generate the cash flow that's required here, we can grow this thing, considerably over the next, three to five years.
Shawn Mehler: I guess this maybe could be for either of you guys. Can we elaborate on any contingency plans we have in place to handle any extended periods of decline in oil price?
Shubham Garg: Yes. You bet. I can take that, to begin. So, we've as discussed in the previous webinar, we have had tariff mitigation plans. We've had different kinds of capital programs that we've set out for 50, 60, 70, 80, 90 oil. We have that ability to turn on and turn off capital, depending on where we see oil and commodity prices going. We have the ability to talk to our vendors and essentially leave the rig sitting, the service rig sitting for 3, 4, 6, 10 days, while we wait for certain high noise type of news events and discussions to occur. And meanwhile, we're protecting our cash there in the bank. So, having cash in the bank, having the ability to raise capital in absolute emergency situation, and then really monitoring that working capital program is going to be our best insurance. We don't really have a business plan in place, that's going to allow the Company to succeed where we just sit here waiting for oil price to hit $80 or $90 per barrel. We have really attractive capital payback programs, even at today's pricing. Of course, higher pricing is better for everybody, really allows you to increase our working capital quite substantially and the cash flows quite substantially, but we operate on a day-to-day basis. So, between Chris, CFO, our CEO, Darren Jackson, myself, and the board, we are meeting extremely frequently, making decisions, and sticking to them, talking to our vendors, talking to our service providers, talking to our field operators, making sure that we can move as needed. We don't need this big bureaucracy organization, that's moving slow to make these decisions. So, we keep a minimum amount of cash in the bank, which allows us to cover our interest payments, our critical arrears, to SaaS power, to the MER, to our field operators, our staff. So, we keep those contingencies in place of cash in the bank, and then we allocate the working capital depending on how the month goes. And Chris has exceptional spreadsheets, and a really, really good structure on that where the entire team can come in, and within 5, 10, 15 minutes, we have an answer of how we're going to proceed, for the day. Chris, if you want to add to that.
Chris Ludtke: Yes. I would echo that. I mean, our primary mechanism is our ability to turn on and off capital. If we see prices in, say sub $50 WTI, we've got the ability to turn off some of the development capital. Some of the other pieces in play are optimization of netbacks. So, we're leveraging, seasonal, sales opportunities with some of our heavier crude through various different asphalt offtakes. And that's already helped swing some of the dollars per barrel, upwards of $10 to $12 a barrel on some of these heavier crudes that we're able to take advantage over the summer. So, we're doing that. And then we're also looking at various hedging opportunities and things like that. Right now, the, the heavy to light differential is quite attractive. I mean, we're just over $9 a barrel U.S., which are kind of almost historical little, differentials that we're seeing. We're seeing positivity from, U.S. to Canadian dollar exchange rate as so that's helpful for us, and that's you know, those items have helped offset some of the, the WTI declines that we've seen over the past 30 days. Shawn?
Shawn Mehler: Yes. You bet. This one can build on that maybe a little bit. When do we foresee external borrowing or debt financing will be replaced with internal cash flow? Any thoughts on that?
Chris Ludtke: Yes, and this get back gets back to this critical point of sustainability, right? So, we're financed, to be able to execute the summer program here, the reactivation, the infrastructure, the pipeline projects that that we have in place to be able to get us, to a a critical point of sustainability. And so, we see that basically at the end of the summer, where we'll have another more quarterly reserve bookings, more conversions from PDNPs to PDPs. We'll have higher production and higher cash flow to be able to support that debt consolidation piece.
Shubham Garg: Yes, and that's backed by the fact that as we add these summer barrels, a majority of these summer barrels are very high netback barrels because we were already paying for the surface rights. We were already paying for the mineral rights and the property tax and the field operators and basically everything else to do with that well. So, when these wells come online, they dilute down the operating cost of the entire pool, and so they end up being very, very high netback barrels, at the end of the day. And that drives the strategy where we see these projects being quite attractive, very cost effective, despite the lower oil and commodity pricing because of these high netback barrels that we're adding. So, I think that's going to continue to play a role. We will continue to see that. As I mentioned, March, oil was $71 a barrel. We were free cash flow positive. So, now at the $60, $61 per barrel, obviously, that's changed, but we continue to add barrels and get to that point in time, with the goal being that we have not just the ability to self to self-finance that capital out of our, cash flow, but also have the working capital. So that we don't need to just be waiting for cash flow every single month, given that these projects are, again, four- to six-month paybacks so that there is times when we need to outspend the free cash flow, because it just still ends up being very attractive to us, as a company.
Shawn Mehler: Sounds good. Maybe a couple more here, guys. Any updates or plans for Consort or Hannah Fields? I don't know if we want to touch on that one.
Shubham Garg: Yes. Prospera is really not able to do anything to those fields until we have TSX approval. So, once we get that TSX approval, on the transaction closing, they will be formally included in in our capital development plans. And we look forward to sharing more on those properties, in potentially, the May operations update, but most likely the June operations update, is when we'll look to share some further information on those pools.
Shawn Mehler: That's a good segue too. I have one. Can people still participate in the financing, given the press release yesterday?
Chris Ludtke: Yes. I can take that. I think we're happy to announce we've been able to secure commitments with the summer program and are happy to be able to execute on a defined scope of what that looks like. But in short, yes, the convertible debt program, which is a two-year convertible debenture, 12% interest, convertible $0.05 in the first year, $0.10 in the second year. There's also a warrant attached to this at $0.075. So, this instrument is still open. We've seen, really strong support from existing investors, some new investors, and from the board as well on this instrument. So, we're happy to see that. The raise is effectively designed to grow barrels, grow cash flow, and scale what's already generating results. And so, we do have -- effectively, the instrument is still open. The incremental capital will go towards funding continued high impact well reactivations, supporting this polymer flood expansion, the critical infrastructure, potentially strategic acquisitions, and amplifying the high margin driven production that Shubham was speaking about earlier. So, if anybody is still interested, our emails are on press releases. You can reach out directly to us. We're happy to chat with you personally as well.
Shawn Mehler: Okay. I mean, we have quite a few more, but I think we, maybe just, button it up here, unless you guys have any final comments. I did want to add, just a piece about transparency that this is going to be something to expect quarterly. We're going to be consistent with these webinars and driven with that idea of transparency, and that's also reflected in our monthly operations update. Shubham had mentioned, our investor document on the website is like a living document. We're going to have that updated multiple times per month. It's not just going to get thrown up there, and we'll revisit it every eight months. So, yes, you can keep an eye on that for complete transparency. And last item, our AGM is taking place on June 19. The time and locations on the website as well. So, anyone, interested in joining us for that, you're welcome. Yes. With that said, unless you guys had any final comments, I think that should pretty well cover it for today.
Shubham Garg: Yes. I just want to thank everybody for joining here. And as Shawn said, expect this kind of transparency going forward. We realize that certain investors have been with us here for quite a few years, myself included. And it's been a big change that's happened since October, and we look forward to continue driving the bus ahead and keep executing on this plan that we have.
Chris Ludtke: I would echo that, Shubham. And anybody that has any further questions, feel free to reach out. Shawn, what we'll do is we'll take all these unanswered questions, and we'll respond directly to the folks that have asked.
Shawn Mehler: Sounds great. And again, just appreciate everyone taking the time today. I will have this, on YouTube if you want to revisit or anyone that, wasn't able to join. So, appreciate it, and thanks again.
Chris Ludtke: Thank you.